Jean-Marie Tritant: Good morning, and welcome to Unibail-Rodamco-Westfield's 2025 Half Year Results Presentation. Our H1 results demonstrate our strong start to the year and are fully aligned with our Platform for Growth business plan to drive organic growth, sustainable value creation and strong shareholder returns. Sales, footfall and leasing activity in the first half are all in line with expectations, and we continue to outperform the wider market. In H1, we successfully delivered the retail opening of Westfield Hamburg-Überseequartier and handed over the project's first office space. We also further developed our new revenue platforms by expanding our Westfield Rise Retail Media Agency to our U.S. business and launching a licensing business to generate asset-light, high-margin revenues while driving the international expansion of the Westfield brand. With the stabilization of yields, we are now capturing the positive impact of our rental growth in our valuations, leading to a plus 1.2% portfolio revaluation, including a slight increase in the value of our U.S. portfolio for the first time since the Westfield acquisition. On disposals, we have now completed or secured EUR 1.6 billion, another EUR 0.9 billion under active discussion and are on track to deliver our planned EUR 2.2 billion in disposals by early 2026. We also continue to proactively capture the right windows of opportunity when it comes to refinancing. In H1, this meant the recouponing and downsizing of our hybrid and the successful refinancing of two U.S. assets at very attractive terms. As a result of this strong H1 performance and our confidence in that continued performance in H2, we expect full year AREPS to be at the upper end of our guidance range. Illustrating this strong performance, group like-for-like NRI is up 3.6% year-on-year. Like-for-like EBITDA is up 4.1%, which also reflects a reduction in general expenses. Our net debt-to-EBITDA ratio, including hybrids, stands at 9.2x, down from 9.5x at the end of 2024. Increasing valuations driven by the performance of our assets, combined with disposals have contributed to an 80 basis points reduction in our loan-to-value ratio, including hybrid. With the two deals announced this morning, which I will come back to later, the loan-to-value would decrease by an additional 40 basis points. Let's take a closer look at the operating performance of our shopping centers. Footfall is up across all our regions, leading to tenant sales growth of 3.1% in Europe and 5.7% in the U.S., well ahead of blended national sales indices and outperforming core inflation. Our leasing activity led to a 60 basis points reduction in vacancy in H1, further strengthening our commercial tension, visible through a high proportion of long-term deals and a healthy 7.1% MGR uplift on top of indexation, consistent with the uplift levels we saw last year. Our OCRs remained stable on the back of positive sales evolution, giving us confidence in our ability to continue to capture reversionary going forward. As well, we have not seen any impact of U.S. tariffs on our leasing negotiations and do not expect this to change in H2 based on how retailers are adjusting to meet these challenges and even capitalizing on opportunities such as currency effects and the suspension of de minimis import tax exemptions. Our Platform for Growth business plan includes growth at our Westfield Wise Retail Media Agency and new asset-light, high-margin revenues through licensing. In H1, we expanded Westfield Rise to include our U.S. Retail Media business, which will allow us to capitalize on the transcontinental platform for advertisers in both Europe and the U.S. We have secured 60% of our 2025 budget through H1 activity, out of which EUR 40 million is net income for the period. This is down slightly from H1 2024 when we benefited from the early impact of the surge in demand and increased pricing during the Paris Olympics. On the licensing side, we announced a strategic and franchising agreement with Cenomi Centers, the leading owner of shopping malls in the Kingdom of Saudi Arabia. Cenomi will run up to eight of its flagship centers as Westfield with the first three completed by H2 2026 in the cities of Dammam, Jeddah and Riyadh. There is strong potential in this business, and we will build on our first partnership to reach our target of a EUR 25 million to EUR 35 million EBITDA contribution by 2028. Moving now to the delivery of our committed pipeline. It has been 3 months since the successful retail opening of Westfield Hamburg-Überseequartier, and we are seeing strong commercial momentum. The center has welcomed close to 4 million visits so far. And based on retailer feedback, their stores are exceeding sales targets. The cruise terminal is now fully operational with ships docking weekly and the first teams from Shell, Germany have moved into their new headquarters. We continue to work on the delivery of the additional office and outlet spaces and are actively managing the completion of the projects to remain within the EUR 2.5 billion total investment cost. H2, we also see the final delivery of the Coppermaker Square residential project and the opening of the Centrum Cerný Most expansion, now over 90% pre-let, which will bring the Westfield brand and an upgraded offer to these assets. Based on our current projects and the deliveries plan, the development pipeline will be EUR 1.1 billion by year-end. We have now successfully completed EUR 1 billion in disposals, including a 15% stake in Westfield Forum des Halles in Paris, aligned with the latest and effected book value. Two regional retail asset disposals in line with the latest blended unaffected book value and an 80% stake in Trinity Tower, setting a positive benchmark for the Paris La Défense office market at a slight discount versus the H1 2024 unaffected book value. In addition, we have announced today two secured transactions subject to customary conditions precedent for these types of deals. First, the sale of the 957 key Pullman Paris Montparnasse Hotel to three institutional investors for above EUR 300 million. This is the first large-scale hotel transaction in Paris since 2019. And we have entered into an agreement to sell our URW Airports business to ASUR, Mexico's first privatized airport group for USD 295 million. This deal represents ASUR's strategic expansion into the U.S. airport retail concessions market. These two secured transactions account for around EUR 0.6 billion and should complete in H2 2025. With another EUR 0.9 billion of disposals under active discussions, we are well on track to achieve our target of EUR 2.2 billion of disposals by early 2026. With our Better Places plan, we have made great progress in delivering our road map, progress which has been recognized within our industry and beyond. I'm very happy to share that Time Magazine has again named us one of the 100 Most Sustainable Companies in the World this year, ranking us as the #1 Real Estate Company worldwide. Corporate Knights has also increased our ranking, naming URW now the 11th Most Sustainable Company in Europe and #1 in the Real Estate sector. I'm also pleased to share that we made -- we have made this progress against our targets while trending below the CapEx needs forecasted as a part of our plan. Our CSRD report was published in March. And obviously, our Sustainability and IR teams are always available to share further details and answer your questions. Now let me hand it over to Fabrice to go into more details on our strong financial performance before coming back for some closing remarks.
Fabrice Mouchel: Thank you, Jean-Marie, and good morning, everyone. Our H1 results confirm the positive dynamic seen in 2024 even against the backdrop of an uncertain macroeconomic environment. Tenant sales continued to increase above both core inflation and national sales indices supported by footfall growth. And we even saw an acceleration in Q2 compared to Q1 for both sales and footfall. Retailer demand for our flagship destinations remained strong with solid leasing activity in H1 2025. In H1, we also made significant progress in our disposal program with EUR 1.6 billion of disposals completed or secured, leading to a further net debt reduction and the ongoing improvement of the group's credit metrics. This disposal progress is in line with our platform for growth plan presented in May with another EUR 0.9 billion of disposals under active discussions. Let's look at our key H1 2025 figures. AREPS stands at EUR 5.11 per share, down just 0.6% on H1 2024, mainly as a result of the disposals completed in 2024 and H1 2025. It was also impacted by the higher number of shares from the CPPIB deal completed in December 2024 when URW issued 3.25 million shares in exchange for an additional 39% stake in URW Germany. H1 performance is supported by EBITDA growth of plus 4.1% on a like-for-like basis, mainly from shopping centers. H1 2025 earnings also benefited from the reduction in both financial expenses and the hybrid coupon, which I will comment on later. Here, we provide a detailed bridge showing the AREPS evolution year-on-year. In H1 2025, we have delivered a 5.8% underlying growth on last year's AREPS rebased for disposals, net of financial expenses, the Olympics and the impact of the CPPIB deal. This is slightly above the underlying growth that we announced in our guidance for 2025. This mainly derives from retail NRI growth contributing plus EUR 0.26, primarily from the like-for-like performance. Financial expenses had a positive contribution of EUR 0.04 from successful refinancing and FX hedging. The hybrid had another $0.05 positive impact from the liability management exercise completed in April this year. The minus EUR 0.07 in the other category is mainly due to taxes and depreciation. Let's look now more closely at URW's retail performance on a like-for-like basis. These figures are now reported based on the new organization for our Shopping Center activity, which is split in four regions. This structure focuses and simplifies management while achieving cost and productivity efficiencies. NRI was up 4.1% on a like-for-like basis, including plus 3.5% for Europe and plus 6.3% for U.S. flagship assets. The U.S. NRI growth was supported by strong contribution from leasing activity, vacancy reduction and higher sales-based rents. Indexation had a plus 1.4% contribution at group level, corresponding to a plus 1.8% increase in Europe. Our performance in Europe was supported by leasing activity with a plus 0.8% contribution mainly in Southern and Central Europe. The remaining plus 1.1% contribution is mainly driven by variable income, including commercial partnership and parking as well as lower doubtful debtors with fewer bankruptcies and strong rent collection. In H1 2025, we saw a further decrease in the number of stores impacted by bankruptcies amounting to just 86 units compared to 123 last year. This represents 0.9% of the total units compared to 1.2% in H1 2024. 76% of the units impacted by bankruptcy saw the tenant still in place or replaced, limiting their impact on the group's vacancy. This reflects the increased quality of the group's tenant base and the positive sales performance achieved at URW centers. Moving now to vacancy, which stands at 4.9% at group level. This is down from 5.5% last year and 6.3% the year before, showing the positive reduction trend in vacancy since COVID. It is in line with the level achieved at year-end 2024 of 4.8%, which was the lowest level since the Westfield acquisition. Vacancy in Europe was 3.6%, flat compared to December 2024 and down from 4% last year. U.S. flagship vacancy was 6.3%, in line with December 2024 and down from 7.4% in June last year, reflecting retailers' appetite for URW's high-performing assets. Leasing activity remains strong with EUR 202 million of MGR signed in H1 2025. This level is lower than last year due to lower vacancy and lower bankruptcies to address. Excluding vacant units and bankruptcies, MGR signed amounted to EUR 180 million, in line with H1 2024. And we also saw a slight increase in the proportion of long-term leases to 80% with a stronger increase in the U.S. Rental uplift continued to be healthy, standing at 7.1% on top of indexation and 8% before indexation. This is in line with the 7.3% rental uplift achieved in H1 2024. H1 performance continued to be supported by the uplift on long-term deals of plus 13.1% before indexation, including plus 8% in Europe and plus 27.6% in the U.S. Looking more closely at rent per square meters signed in H1 2025, they showed an increase of 16% in Europe and 10% in the U.S. compared to H1 2024, demonstrating the increasing focus on higher-value deals. Moving on now to offices. So NRI for offices amounted to EUR 40 million in H1 2025, a 20% reduction compared to last year, mainly due to the disposals of Getty offices in H2 2024 and of an 80% stake in Trinity in H1 2025. 2025 NRI was supported by the full letting of Lightwell delivered last year and therefore, not included in the like-for-like performance. As a consequence, the like-for-like perimeter for offices is limited. Its growth was plus 1.9%, mainly driven by France at plus 6.8%. NRI for the C&E activity stood at EUR 90 million, a 17% decrease compared to last year due to seasonality and the early positive impact of the Paris Olympics seen in H1 2024. On a like-for-like basis, i.e., excluding triennial shows, the Olympics and Scope Changes, NRI was almost flat compared to 2024 and plus 27% compared to 2023, the last comparable year, thanks to lower energy costs and the full recovery of the activity. Bookings and pre-bookings stand at 95% of the expected rental revenues planned for the year. Our H1 2025 performance was also supported by a 7% decrease in our general expenses as part of wider cost savings initiatives launched in 2024. This is on top of the 10% decrease already achieved in full year 2024. General expenses as a percentage of NRI decreased from 8.6% in H1 2024 to 8% in H1 2025, demonstrating the gains in efficiency achieved. These gains reflect our simplified organization structure, stringent procurement policy and ongoing process automation. The group GMV as at June 2025 amounted to EUR 48.8 billion, a 1.8% decrease compared to last year. This is mainly due to a minus EUR 1.2 billion FX impact resulting from the weakening of the U.S. dollar versus the euro over the period. GMV was also impacted by disposals achieved in H1 2025 for minus EUR 0.8 billion, partly compensated by CapEx of EUR 0.6 billion spent over the period. Excluding FX, CapEx and disposals, valuations were up EUR 0.6 billion, corresponding to a 1.2% increase for the portfolio valuations. This increase supports the 1% annual growth of values we shared at our Investor Day. And as Jean-Marie mentioned, this is the first positive revaluation of the whole portfolio since 2018. Net reinstatement value stood at EUR 138.80 per share at the end of June 2025, a 3.5% decrease compared to year-end. This evolution is mainly due to FX impact of minus EUR 3.77 per share and mark-to-market of financial instruments and hybrid with a minus EUR 2.58 per share impact. This was partly offset by the AREPS contribution of EUR 5.11 per share and NAV saw a positive contribution from asset revaluation of EUR 2 per share. Net reinstatement value also takes into account the increased distribution of EUR 3.50 per share paid in May. Moving now to shopping center portfolio valuations. Like-for-like retail valuation was up 1.1% in H1 2025, driven by a positive rent impact of plus 0.7% and plus 0.4% from yield impact. This positive rent impact reflects the strong operating performance achieved in H1 2025, both in Europe and in the U.S. Overall, yield impact, which had been negative in previous years, saw a stabilization in the U.S. and a slight improvement in Europe. Like-for-like valuations were up 1.3% in Europe, slightly above revaluations in H1 and H2 2024 of plus 0.8% and 0.7%, respectively. Valuations were up in the U.S. for the first time since the Westfield acquisition at plus 0.3%, reflecting a positive rent impact and stable yields. Regarding U.S. flagship assets, the GMV increase was plus 0.9%, fully coming from the rent impact. The net initial yield for European assets as at June 2025 stands at 5.4%, in line with previous years. The net initial yield for U.S. flagship assets as at June 2025 stands at 5.1%, in line with 2024 and 30 basis points above 2023. The stabilized yield for U.S. flagship assets based on rents assumed by appraisers in year 3 stands at 5.8%, a 10 basis point increase compared to last year. These yields reflect the growth potential embedded in our U.S. assets. The NRI growth assumed by appraisers for the U.S. flagship asset stands at 4.1%. And as explained, this is based on cash flow growth, including the contractual rent and CAM escalation of 3% on average. This means that 3/4 of the growth assumed by appraisers comes from current leases in place. At group level, the growth of 3.7% assumed by appraisers on our retail portfolio is below the NRI growth potential of these assets as presented within our Platform for Growth plan. Moving now to development. The key event in H1 2025 was a successful delivery of the Retail component of Westfield Hamburg, reaching almost 4 million visits since its opening in April as well as the first office handover to Shell, Germany. Following these deliveries, the total investment cost of URW's development pipeline decreased from EUR 3.5 billion to EUR 1.9 billion, including EUR 1.3 billion of committed projects and EUR 0.6 billion in the control category. The pipeline includes the addition of the CNIT One office refurbishment at Paris La Défense for plus EUR 0.1 billion. As outlined by Jean-Marie, H2 will be active in terms of deliveries with Westfield Hamburg offices and the Ibis Hotel, the last phase of Coppermaker Square and the Cerný Most expansion. The average pre-letting stands at 85%, excluding residential. Following these deliveries, URW's pipeline is expected to go down further to circa EUR 1.1 billion at year-end 2025. And this is consistent with the CapEx plan presented during the Investor Day. Net debt has further reduced in H1 2025 from EUR 21.9 billion to EUR 21.2 billion on an IFRS basis, including hybrid. The EUR 1 billion disposals completed in H1 had a positive impact of 130 basis points on the LTV. The EUR 0.7 billion in recurring cash flow generated in H1 were partly offset by the EUR 0.6 billion in CapEx and acquisition over the period. Net debt was impacted by the EUR 0.5 billion cash distribution paid in H1, which had a negative impact of 105 basis points on the LTV. Net debt decreased by EUR 0.4 billion as a result of the weakening of the U.S. dollar, which also impacted the GMV as we saw earlier, leading to an overall negative impact of 20 basis points from FX on the LTV. Last, portfolio valuation had a positive impact of 60 basis points on the LTV. In total, our IFRS LTV, including hybrid, stood at 44.7%, down 80 basis points compared to December 2024. The group has also secured an additional EUR 0.6 billion of disposals to date and taking into account these disposals and the payout settlement, the IFRS net debt, including hybrid would stand at EUR 20.7 billion on a pro forma basis. And as a consequence, the LTV would decrease further to 44.3%. The net debt-to-EBITDA ratio further improved to 9.2x in H1 2025, down from 9.5x in 2024. This is consistent with the trend we presented at our Investor Day and a 9x level anticipated in 2026. This results from the net debt reduction I've just mentioned, and it also includes a slight decrease in EBITDA year-on-year of minus 1.1% due to the mechanical effect of disposals, partly offset by a plus 4.1% increase on a like-for-like basis. This ratio does not take into consideration the additional EUR 0.6 billion of disposals secured nor the full year impact on the NRI side from project deliveries in 2025. Cost of debt for H1 2025 amounted to 1.9%, in line with H1 2024 and slightly below the 2% in full year 2024. This includes the benefit of part of the refinancing completed to date and the hedges in place in 2025 to cover both rates and currency exposure. Cost of debt is expected to increase for the full year due to the maturity of debt with a low coupon over the period, lower cash amount and decreasing cash remuneration. This will be partly offset by the impact of CMBS refinancing completed in March and July 2025 for USD 1.2 billion. In total, the cost of debt is in line with the trajectory presented during the Investor Day of a 20 to 30 basis points increase per year. Let's look at those refinancing in a bit more detail. We refinanced USD 1.2 billion of CMBS, successfully managing to both extend the maturity and secure improved conditions with an annual saving of around 190 basis points compared to conditions in place before. This included the refinancing of Roseville for $275 million and Century City for $925 million. Century City financing was the tightest spread for a AAA tranche since 2019 and the tightest coupon on a CMBS over the last 5 years for a single asset. In parallel, URW also refinanced part of its hybrid stack, seizing an attractive window ahead of the U.S. tariffs announcement. The group repaid EUR 995 million of hybrid with a coupon of 7.25% and issued a new EUR 815 million hybrid with a coupon of 4.875%. The remaining EUR 180 million was paid using the group's available cash. This supported the group's AREPS with a reduction in the hybrid coupon of EUR 7 million in H1 2025. These transactions illustrate the group's access to funding at attractive conditions and our ability to seize market opportunities. The group's IFRS cash position decreased from EUR 5.3 billion to EUR 3.3 billion during H1 2025. This results from the use of unavailable cash to repay maturing debt and part of our hybrid stack. This is consistent with the group's approach to reduce its cash position as remuneration conditions in Europe deteriorated with the decrease in ECB rates as placement conditions in the U.S. were impacted by the weakening of the U.S. dollar and as we have progressed on our deleveraging program. The undrawn credit facilities stood at EUR 8.7 billion as at June 2025. In total, the group's available liquidity amounts to EUR 12 billion and would cover the group's debt maturities for the next 3 years, even assuming no new debt refinancing and no further disposals completed. This gives us time to access the debt market when we see fit and to continue deleveraging in an efficient and orderly manner, consistent with our plan. With that, let me hand back to Jean-Marie for some closing remarks.
Jean-Marie Tritant: Thank you, Fabrice. Before we start the Q&A, a quick comment on our 2025 guidance. We expect full year AREPS to be at the upper end of the EUR 9.30 to EUR 9.50 range. This is based on our strong H1 performance and our confidence in the continued performance in H2, combined with our successful re-couponing and downsizing of the hybrid, our refinancing achievements with $1.2 billion of U.S. secured debt and the progress and timing of disposals. We also confirm that we will propose a EUR 4.50 per share distribution for fiscal year 2025, representing a circa 30% increase on the 2024 distribution as part of the planned cumulative distribution of at least EUR 3.1 billion for fiscal years 2025 to 2028 announced as part of our Platform for Growth business plan. As usual, this guidance assumes no major deterioration of the macroeconomic and geopolitical environment. With that, let's open the line for questions.
Operator: [Operator Instructions] The first question is from Florent Laroche-Joubert, ODDO BHF.
Florent Laroche-Joubert: So I would have two questions. The first one on your low point to be reached in 2026. So we understand that you have you expect now maybe in, now actually in 2025 at the upper end of your guidance. But at the Capital Market Day, you told us that you expect your AREPS in 2026 of at least EUR 9.15. So have you changed a little bit your estimate for that? So are you able to raise it a little bit? This is my first question. And my second question, so could you give us, please, more colors on your evolution of your OCR levels and potential rent uplift for next renewal of leases?
Jean-Marie Tritant: Yes. So on the guidance for '26, we don't change and we have not changed our guidance for '26. So we remain at the EUR 9.15. When it comes to the OCRs, as I said, they remain stable. Globally, for Europe, we are at 15.8% versus 15.6% last year for the same period. And in the U.S., it's 11.8% around versus 11.7% for our U.S. flagship. So that's where we stand today. So pretty stable OCRs, while we have been able to increase the rent and the spread, but this has been compensated -- more than compensated by the sales evolution. So it gives us like really ample room to be able to continue to capture MGR uplift going forward. And just to -- I think that Fabrice shared it. But globally, if you just look at the long-term leases, we have been able to capture 11.6% in H1 this year. Last year, it was 11.7%, so aligned as well with last year. So pretty confident on the trend.
Operator: The next question is from Jonathan Kownator, Goldman Sachs.
Jonathan Sacha Kownator: So first of all, one question on the guidance. You're now at the upper end. How much of that is really driven by the operating performance part and any impact of the timing of disposals on that? And about the FX impact, obviously, I understand there's no impact on 2025 given the hedging. But how much are you expecting that to impact the 2026 guidance? And I understand you're not moving that one. So interested in understanding effectively the impact of FX overall. And as a corollary to that, do you need to do more disposals than now that your LTV is perhaps a bit higher than you expected?
Fabrice Mouchel: So thank you, Jonathan. So first, on the guidance, all in all, there was a slightly positive impact coming from some delayed disposals, which was compensated by the higher volume of disposals that we expect to complete in 2025. So basically, all in all, slightly positive, but -- or slightly contributing, but not to a major extent. So the main two differences that explain this improved guidance are connected to the financial expenses and in particular, what we've been able to do on the FX side and the refinancing that we've completed and as well the hybrid refinancing and the downsizing and re- couponing, which is, of course, uncertain at the beginning of the year when we launched -- when we made the guidance and now that we've been able to refinance those at very attractive conditions. This supports the increased guidance. So the two main elements really reflect, are coming from this -- from the financial expenses and the hybrid. And when it comes to our operating performance, again, it remains strong and in line with what we expected to achieve. That's the first question. So the second on the FX. So you see that for 2026, we've already mentioned that the FX impact would be EUR 0.16 in total compared to between EUR 0.26 and EUR 0.25. This was based on an FX of 1.14 -- so an FX between euro and dollar of 1.14. So I mean, at its peak, it was something like 1.17, and this would correspond to approximately EUR 0.05. So you see no major difference. And of course, this is highly dependent on evolution. And between 30th of June when the euro-dollar was at 1.17 and today when it's 1.144. So basically, you see that this evolves quite dramatically. So all in all, this should not impact the guidance, and this is why Jean-Marie confirmed this level of 2026 of at least EUR 9.15 per share.
Jonathan Sacha Kownator: Okay. And on disposals, any plan to increase the disposals due to the FX or not really?
Fabrice Mouchel: You look at the overall FX impact, it's quite limited. It's $0.20. And on the contrary, you see also a positive impact on the revaluation, which was 60 basis points and which is already 1.2% in half year compared to 1% annual evolution on a full year basis. And by the way, just as a reminder, and that's an important element. Again, when we communicated on the LTV, we already had assumed a 1.14 euro-dollar FX level. So basically, if you stand at 1.17, this is less than 10 basis points impact. So here, we are showing this 20 basis points, which is due to the evolution between last year and 31st of December, 30th of June, so EUR 0.20, but this is less than half of that when you have to make the evolution between 1.14, which was the assumption that we had during the Investor Day and the 1.17 that we had a few days ago. And again, today, we stand at 1.14. And so basically, this would be spot on with the level that we had assumed for the LTV in our -- in the guidance that we gave during the Investor Day.
Operator: The next question is from Veronique Meertens, Kempen.
Veronique Meertens: Maybe as a follow-up on that, you are indeed already on track for the disposal target, and we're only mid-'25, another EUR 900 million in talks. Does that mean that maybe you're already seriously exploring opportunities? Are there also active discussions on the investment side at this stage? And secondly, is there an update on the further rollout of the licensing business as there are also quite serious targets set for that business as well?
Jean-Marie Tritant: We are -- on the first question -- first part of the question, we are really focused on the densification of our assets. So we are really focused much more than looking at acquisitions, we're focused on where we can create more value from the assets, which we have just added to the controlled pipeline, the restructuration of our CNIT office space that has been vacated by SNCF. So this is where the focus is. and obviously, on some densification projects that we have in the U.S., in particular, Garden State Plaza and Old Orchard. So that's where we focus our, I would say, capital allocation. It doesn't mean that we won't be open to opportunities, but that's not a major axis for us as we shared during the Investor Day in May 14. On the licensing business, so we have set up the team with Cenomi Centers. We are working actively with them to prepare the first branding of assets that will happen in the course of '26, mainly H2 '26, which would be Dammam, which is an existing center. Then you will have Jeddah that is the Nakheel project in Jeddah that is under development and pre-letting and then Riyadh. So that's really the focus. And we need to set up this first three, and then we are preparing the development plan of this activity, such as, as I said in my presentation, that very confident in our ability to have an EBITDA contribution in between EUR 25 million and EUR 35 million by 2028.
Operator: The next question is from Pierre-Emmanuel Clouard, Jefferies.
Pierre-Emmanuel Clouard: So two questions on my side. Just to come back on the leverage. Can you remind us how much CapEx you plan to spend in H2? Because if I'm doing a quick calculation, you will have at least EUR 600 million of cash due to disposals and another EUR 700 million of cash due to your recurring cash flow. You already paid the dividend. Should we consider that your net debt will be at least down by EUR 1 billion in H2? Or is there something I'm missing here? The second one is on disposals on the EUR 900 million additional disposals under discussions. Are the EUR 0.5 billion of U.S. regional centers included in this envelope or not? And if not, what is the strategic plan for these centers going forward?
Fabrice Mouchel: So to come back to your question on CapEx. So we had a target of -- which we announced during the Investor Day of EUR 1.1 billion of CapEx in -- over the full year. So basically, we already spent EUR 500 million when it comes to CapEx at group share. So basic, there's another EUR 600 million to EUR 700 million to be spent in H2. And this should be covered by the recurring results. And so this means that in front of that, all the deleverage will be coming from the disposals that we'll be able to achieve in H2. And as you said, in fact, very rightly, the H1 loan-to-value has been impacted by the distribution in one go of EUR 500 million, which had a negative impact of 105 basis points, which will not happen in H2.
Jean-Marie Tritant: And when it comes to the EUR 0.9 billion active discussions on disposals of non-core assets and activities, there are some of these regional assets that are included in these active discussions, but it's not the entirety of the portfolio. And going forward, again, we -- as we have always said over the last 5 years, we are not a distressed seller. We are not forced to sell. I think we have done the job now. The remaining regional assets are really good assets. So there is no pressure to do it at any price. So we'll take the time. Meanwhile, we continue to do the leasing activity -- to do the right leasing activity on these assets and then prepare them for the time when they would be ready for sale.
Pierre-Emmanuel Clouard: Okay. That's clear. And maybe a quick follow-up on your operations. I think you explained that the sales-based rent had a negative contribution in Southern Europe, especially in light of the robustness of Spain. Is there anything that we should have in mind in France or in Spain?
Fabrice Mouchel: It was mainly the settlement of the SBR of the previous year that explains this difference. So basically, the settlement was lower in this year compared to the one that we had last year.
Operator: The next question is from Paul May, Barclays.
Paul J. May: I had a specific one on Hamburg. I just wondered if there's been any change in the total CapEx on the remaining elements of that, so the office side and so on, whether that's changed over the first half? And then, as a second question, which is a different one after that?
Jean-Marie Tritant: For Westfield Hamburg, as I said during the presentation, we remain within the teak of EUR 2.5 billion. We have delivered, as I said as well, the headquarters to Shell, Germany. We have improved the pre-letting of the D1 and D2 tower that is the Skysegel and Luv & Lee towers. So we are now at close to 80% pre-let, and we are working on the delivery of the handover of the high vis and then the remaining part would be delivered in '26. So it's moving according to plan.
Paul J. May: Just wondered if you could give any further color, apologies if I missed some bit through the presentation, lots of things today. Just on the airports disposal, obviously, I think we've seen a price of $295 coming in from the buyer, $295 for the EV. I think the full year valuation, which included the Westfield trademark, I'm not sure how much that's worth, was that $429 million. Just wondering if you could give any color on the yield or the debt that's attached to that, so we can get a sense of pricing versus previous book values.
Jean-Marie Tritant: There's limited debt attached to that business. It was really a concession base. So it's asset-light. So these are fees. So it's really the management of the commercial part of the terminal. So it was a terminal commercial manager. This is exactly the terminology that we use. So there's a very limited CapEx and then accordingly, debt attached to that business. Then afterwards, I will leave it to Fabrice to explain that this has a positive effect nevertheless on the liability side.
Fabrice Mouchel: Yes. So obviously, we won't comment on the valuation and how it compares with the current transaction. Still, as Jean-Marie said, in addition to the valuations that was -- of the portfolio of the airport, there was, on top of that, EUR 314 million of financial leases in our books corresponding to this concession, so to the discounting of the debt or the amounts due to the airport authorities. And so this will come on top of the deleveraging. So basically, the balance sheet will be reduced by EUR 340 million coming from the financial leases on top of the proceeds that will be generated of the $295 million that was the deal on the airport activity.
Paul J. May: Okay. Will you still separately comment about the Westfield trademark being separated from the flagship? So I mean, eventually, we'll get the value of that just or will that now drop off in terms of the disclosure?
Fabrice Mouchel: I think on the trademark, I mean, it was part of the flagship asset because it's highly connected to the flagship asset. So I think that's the way to do that. And the main difference that happened in H1 versus last year is that on top of the trademark connected to the standing assets of URW, you had an additional component coming from the Cenomi deal and the new licensing business that we've been able to develop. And as we said, this is part of the non-like-for-like revaluation, a part comes from this valuation of this new licensing business.
Paul J. May: Perfect. Sorry. And just one other one, apologies. Any other geographies you're looking at on the licensing side? I mean, is there any possibility in North America, sort of within Canada, U.S. or further into sort of the UAE or outside of Saudi?
Jean-Marie Tritant: On the licensing business, I would say, for the coming months, we are really focused on setting the partnership on the right track with Cenomi Centers, while preparing, obviously, the expansion. Middle East is definitely part of the regions that we look at. And then afterwards, we may look at other opportunities. And I think that as Fabrice said that Northern America was something that we could look at. But really, the focus for the coming months is on setting up the partnership with Cenomi Centers, branding the first three assets, getting this fully successful.
Operator: The next question is from Frederic Renard, Kepler Cheuvreux.
Frederic Renard: Three very quick questions. Maybe one first on your expected vacancy by year-end in your shopping center. Can you give a bit more color on when you expect it to land? Two, you did a very nice deal last year with CPPIB in Germany. And of course, you have several partnerships with them also in the U.S. Of course, your LTV is still very high, but how would you look at the fact that if CPPIB would be available to dispose some of the assets, how would you look at it in the U.S.? And then, the last question would be on your dividend outlook from '26 to '28. Can you reaffirm a bit what you see in the CMD as it seems that the market is not really fully aligned with what you communicated. How comfortable are you on delivering on the dividend target?
Jean-Marie Tritant: I think, Frederic, we didn't get fully the first part of the question. So...
Frederic Renard: On the first one?
Jean-Marie Tritant: I got the CPPIB and the dividend, but [indiscernible]
Frederic Renard: Okay. The first one was -- sorry. Yes, it was just on your expected vacancy by year-end in your shopping center. How do you assess it? And can you give us some color?
Jean-Marie Tritant: So we stand at 4.9% in H2 -- in H1, sorry, after Q1 that went up to 5.5% as far as I remember. So we're down. And then you see that we have a trend that is going down as well, trending down from the last year level for H1. So we are pretty confident that we'll be below the 4.8% or close to, but below the 4.8% at the end of the year. At one point, you start to reach a level of vacancy that should stabilize. We are at 3.6% in Europe. We have remaining, I think, leeway in the U.S. and in particular, on the flagships that we were at 7.4% in H1 last year that reached 6.3% this year for H1. So I think we still have room for decreasing that, but that's 20% of the global business. So at the end of the day, you will see a stabilization of our vacancy level. But we are confident in the fact that it would be slightly lower than the 4.8% that we reached in 2024. That was the lowest point since 2017. On the CPPIB deal and what -- they are very good partners of us in the U.S. We worked a lot on some regional assets together that we disposed. We worked as well on the restructuration and extension of Topanga that has been a great success for us on the former Sears box. So if there would be no discussions to have with CPP, we will consider it, obviously, on assets that we know perfectly. But I would say that nothing particular to add to that at that stage. And then on the dividend, as I think I said it even in the wrap-up of this presentation, we will propose. We said we'll intend to propose during the H1 -- during the Investor Day, we intend to propose a EUR 4.50 distribution for the fiscal year 2025, and we now say we will propose. It's not an intention, we will propose. And this is part of the EUR 3.1 billion, at least EUR 3.1 billion distributions that -- or shareholder return that we plan to have by 2028 for the fiscal year '25 to fiscal year '28. So confident in our ability to achieve that. And again, I think that, this H1 -- the set of results that we shared with you on the H1 is really the demonstration that we have the foundation, the strong foundations that we are totally changing the risk profile of the group that we have also the development of the organic growth, the potential to continue to develop new revenues and also to extract value from the assets we own.
Operator: The next question is from Neil Green at JPMorgan.
Neil David Green: Just one. How are you thinking about the potential for share buybacks at this point, please? You're making very good progress on disposals, values are rising at a rate better than what you underwrite in the guidance of LTV and your shares are offering a kind of double-digit earnings yield. So any thoughts on potential share buybacks, please?
Fabrice Mouchel: Yes. This is something that we've touched upon during the Investor Day. And what we said is that, first, we intend to deleverage the company, in particular, by selling EUR 2.2 billion of assets, meaning that the EUR 2.2 billion will be dedicated to deleveraging, allowing us to get to the 40% loan-to-value target that we have. And any extra disposal that would come on the EUR 2.2 billion would be dedicated to capital recycling and/or share buyback. And so basically, on that front, we still need first to complete the deleveraging to complete the EUR 2.2 billion of disposals. And once this is done, any additional disposal could be dedicated to a potential share buyback. And as we said during the Investor Day, this is something that we will consider on the back of the different alternatives available to us to use the cash that would come from -- the proceeds that would come from disposals.
Operator: The next question is from Rahul Kaushal, Green Street.
Rahul Kaushal: My first question is on disposals. Which countries do you see as most active in terms of discussions? And do you see the bidding then is getting busier in the second half versus last year? And then my second question is on like-for-like NRI growth, the 4.1%. Do you expect that to continue into the second half? And -- or what would it take to kind of see a stronger acceleration in the second half? What could drive that? And maybe which countries in particular?
Jean-Marie Tritant: On the disposals, I think, we have been very active in all regions. You've seen just with what we announced with the two secured deals that we did we announced yesterday or tonight. One is in the U.S., the other one is in Europe or in France. We have ongoing discussions everywhere. As we have always had, by the way, is that we're really focused on -- we have earmarked a certain number of assets for which we prepared the data room and all the information memorandums, and we are ready to seize opportunities when we see them. So it's not really clearly one area that we are focused on, but it's on the assets. And when we see that we have the potential to dispose at the right price, then we seize this opportunity. So that's really the way we do it. And then on the like-for-like NRI, so I think again, when you look at the -- as I said previously, when you look at the performance in terms of uplift the sales evolution, we are confident in our ability to continue to have leasing positive spread. Indexation could be a little bit lower, but then it gives more room for capturing the reversionary potential. So confident in our ability to continue to reach this 270 to 300 basis points -- a little bit more than 300 basis points above indexation, which we have been able to achieve over the last 10 years. We reached 260 bps. So we will continue to do that. So aligned with what we shared during the Investor Day to be in between this 270 to 330 basis points of organic growth.
Operator: And the last question is from Amal Aboulkhouatem, Degroof.
Amal Aboulkhouatem: I have two questions. The first one would be on the Triangle Tower project. Do you have any update on the pre-letting and anything new since the Capital Market Day?
Jean-Marie Tritant: On the Triangle project, we -- so we -- as I think we shared, we started really to prepare to do the premarketing of the tower of the project after the Olympic Game and we started at the beginning of this year. So we have some -- it's an active market, but we have nothing particular to announce on the pre-letting. But the fact that we have obviously the hotel that is leased to Radisson Blu, the fact that we signed as well with SA Green for the top floors of the assets, on which you have the Summits that you may know from the Vanderbilt building. So we have the Summit as well, this immersive experience with incredible views on Paris that is leased and for the rights, very confident in our ability to start the pre-letting. But as usual, when you look at the experience that we had on the office side and for high-rise buildings, we've reached -- I think we started Trinity with almost no pre-letting, and we have been able to lease it fully at 100%. Lightwell was pre-let. Hamburg [indiscernible] was 25% pre-let. So very confident. When I see the level of -- the number of visits that we have, the level of activity that we have around this asset, very confident for the leasing process.
Amal Aboulkhouatem: Okay. Okay. Good to hear. My second question would be on the tax impact from the new regulation in the U.S. Have you had a look at it and have an idea of how it will impact or not your business revenues -- U.S. revenues?
Jean-Marie Tritant: You mean the tariffs?
Amal Aboulkhouatem: Yes, not the excess taxation for non-U.S. investor.
Fabrice Mouchel: The Section 899, which was an issue, but now it has been pulled out of the law. So basically, it's not anymore -- not applicable -- it has never been applicable, but it's not on the counter anymore.
Operator: Gentlemen, there are no more questions registered. I turn the conference back to you for any closing remarks.
Jean-Marie Tritant: Thank you, everyone, and hoping that you will have some rest during the summer break and talk to you soon during the one-on-ones and the roadshows. Bye-bye.
Fabrice Mouchel: Thank you. Bye-bye.